Operator: Good morning, everyone. Good day, and thank you for standing by. Welcome to Spark New Zealand FY '25 Results. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, CEO, Jolie Hodson. Please go ahead.
Jolie Hodson: [Foreign Language] Good morning, everyone, and thank you for joining us today for Spark's full year results for the year ended 30 June 2025. This morning, I'm going to provide an overview of our results and then I'm going to hand over to our CFO, Stewart Taylor, to speak to our financial performance in more detail before we move to Q&A. . FY '25 was a challenging year for Spark with demand impacted by materially lower customer spending in a tougher economic environment. We acknowledge, however, that not all of the challenges we faced were beyond our control. And as we outlined at our half year results back in February, we've implemented a significant transformation program to improve our performance. We finished FY '25 with an updated EBITDAI, CapEx and dividend guidance. We've made good progress against our transformation priorities. Recognizing how much has changed since 2023 when we last set our strategy. We also set a new 5-year plan, which we'll provide a summary of today and then share more detail at our Investor Day on September 11. As we reviewed strategy, the Board has also undertaken a review of our capital management settings to support sustainable shareholder value creation over the longer term. I'll start with an overview of our FY '25 result as outlined on Slide 4. To clarify our reported and adjusted results, our reported revenue and EBITDAI covers Spark's continuing operations, which means we've separated out the results of the data center business, which is now classified as discontinuing operations. Adjusted numbers include the results of the data center business, remove the NZD 71 million gain on the sale from the Connexa divestment, the NZD 53 million of transformation costs in FY '25 and the NZD 26 million impact of the government changes to tax depreciation rules in FY '24. I will speak to our adjusted numbers now as they provide the best like-for-like year-on-year performance comparison. Adjusted revenue declined 4.2% to NZD 3.7 billion, driven by IT and mobile and the continued decline of legacy voice. Adjusted EBITDAI declined 8.9% to NZD 1.06 billion. This is driven by lower IT services project activity the mix shift from public to private -- sorry, from private to public cloud, legacy voice decline and supply cost inflation offset by a significant reduction in labor costs as part of our transformation program. Adjusted NPAT declined 33.6% to NZD 227 million due to lower EBITDA and higher depreciation and amortization costs. Free cash flow remained steady at NZD 330 million, as we move to reduce CapEx by 17.2% to NZD 429 million to offset the earnings decline. The Board has declared an H2 '25 dividend of NZD 0.125 per share, bringing the total FY '20 dividend to NZD 0.25 per share, in line with updated guidance. Turning now to the action we've taken to improve performance, which is summarized on Slide 5. We shared our 4 transformation priorities at our AGM last year, and we've made good progress against each of these. We have refocused Spark on our core business of connectivity, and we're seeing improved momentum in mobile as we enter FY '26. We have reviewed and simplified our portfolio by divesting non-core assets and reshaping our Enterprise and Government division. We have delivered material cost savings in our second half in the new technology partnerships. And we've realized value for our data center assets while creating a long-term growth option. I'm going to talk to each of these priorities shortly. As we've focused on transforming our business, we've also brought forward the reset of our strategy. SPK-30 takes a long-term view recognizing the scale and pace of technology change that is reshaping customer expectations, ways of working and the products and services we offer. This longer time frame provides shareholders with clarity around Spark's strategic priorities and where we will invest to differentiate ourselves from competitors. We are refocusing Spark from a broader digital services ambition to our core business of connectivity. With our data center transaction providing clarity on funding of the development pipeline, our capital allocation will be prioritized to our core, and we'll continue to build a scalable cost base through partnerships in AI. By focusing our investment on what matters most to our customers, our network and customer experiences, we will give our customers more reason to keep choosing Spark and create a performance-driven and culture -- a customer-focused culture. Ultimately, this will drive stable annuity-like returns for our shareholders. To illustrate the strategic choice, we have outlined the primacy of connectivity at Spark on Slide 7. This includes mobile and broadband and consumer and then a broader range of connectivity products and business such as managed data networks, IoT and collaboration. In FY '25, connectivity contributed 70% of our revenue and 80% of our gross margin. This is why our connectivity performance has been the focus of our transformation program. It remains our priority for investment in the years ahead. Within connectivity, mobile is our absolute focus. In FY '25, total mobile service revenues declined 2.3% as we saw greater levels of price competition in key segments and due to the nonrecurring impact of insurance and consumers. To understand our mobile performance is important to break it down into its 3 component parts Consumer and SME pay monthly is our most important segment characterized by premium customers and accounting for almost half of our base. FY '25 ARPUs in the segment reduced 0.6%, primarily due to the removal of Spark's owned mobile insurance product, which should not recur in FY '26. If we remove that impact, ARPU was around 3% in the second half compared to the same period last year, demonstrating the underlying momentum we have in this important part of the market. Consumer prepaid is characterized by more value-seeking customers and high levels of price competition. In a low spin environment, this intensified in FY '25 and Spark connections declined 5.2% in H1. This connection decline stabilized in H2. Our December plan refresh and price increases supported ARPU, which increased 0.7%. In Enterprise and Government connections rebased during FY '25 as workforces were reduced, which flowed through to lower mobile fleets. Positively, this decline started stabilizing in the second half and the rate of ARPU decline also slowed. Despite this, the competitive market conditions remain. We do not expect a material improvement in the E&G ARPU performance in the near term. Moving to overall mobile performance, as outlined on Slide 9. Original market estimates from IDC, just the total market growth would be around 3% in FY '25. However, actual growth landed at about 1.2%. We've seen more positive momentum in the second half of the market at 1.9% compared to a flat half 1. Looking at how Spark has performed over the same time period. Our total mobile service revenues grew 1% half-on-half. This led to a small share decline of 0.4% over the second half. Positively, our market share stabilized in the fourth quarter and as growth in the market also improved. We remain the market leader by some distance in mobile. Turning now to Slide 10 and the momentum we're building into FY '26. So within consumer pay monthly, we expect ongoing ARPU growth through our August price increases, new product development and as we cycle out of the impact of the removal of insurance in FY '25. In consumer prepaid, we're doing more to compete using both our Spark and Skinny brands to grow overall value. From Q4, we've upweighted our competitive response, and we're seeing this flow through to acquisition rates. And while connections declined in half 1, this started to stabilize and half 2 and performance in this segment remains a focus in the year ahead. In Enterprise and Government, as the rate of mobile fleet reduction has stabilized, we remain focused on customer retention and competing on more than price to mitigate ARPU impact. Throughout the year, we retained more than 95% of our top 50 customers and continue to win new business with another 7,000 connections being onboarded in the first quarter of FY '26. So turning now to our broader connectivity performance in IT. While broadband connections declined 3.8% in the competitive market, revenue decline stabilized to largely flat following a 2.3% decline in the first half. Across the balance of the connectivity portfolio, we saw ongoing decline in legacy products within voice and managed data and networks as customers migrate to more modern services, while collaboration and IoT continue to grow, with IoT reaching around 2.4 million connections. In IT Services, we saw cloud -- in IT services, we saw cloud revenues continue to grow off the back of strong public cloud growth. While this mix shift from private cloud put ongoing pressure on margins and in IT services revenue was down 7.7% due to lower market demand, driven by some of the technology deferrals. Turning now to the review we've completed of our noncore assets, which is outlined on Slide 12. As you'll be aware, we divested our stake in mobile towers business, Connexa, in the first half. which delivered NZD 309 million in net proceeds and valued the business on a consistent basis with the previous New Zealand mobile tower EBITDAI multiple. These proceeds have been used to reduce net debt and will be partially returned to shareholders through the H2 '25 dividend. We also divested our 10% stake in HTAL with NZD 47 million in process received in July 2025. This reflected a 45% premium to the upper end of the independent valuation range, and the proceeds will be used to reduce net debt. Within the enterprise and government, we integrated subsidiaries, CCL, Cures and Spark divested our Digital Island business and undertook product portfolio simplification and relevant areas. We have also commenced a process to introduce new investors to our matter subsidiary. Overall, our intention has been to maximize the value of these noncore but high quality and valuable assets for our shareholders to further strengthen our balance sheet and to enable us to recycle capital back into our core connectivity business. I'm now going to speak to our expanded cost reduction program, starting with the new technology delivery model we introduced in the second half. So when we look at our global peers, many had already moved to new partnership models in their network and IT business. The experience showed that a partnership model would not only enable greater efficiency but also create better customer experiences by tapping into considerable investments these companies make into new products, services and technologies. Our new model includes 4 key partnerships note in the network, emphasis in HPE and IT and Microsoft & Cloud. Each partnership enables us to accelerate our use of new technologies for better customer experiences while delivering our operations more efficiently. I want to acknowledge that undertaking a transformation of the scale has brought significant change for our people. It is never easy to make changes that impact our teams, and we don't do so lightly. But in a changing market, we've had to make tough but necessary choices to adapt to changing demand and put Spark in a stronger position in the years ahead. We've also continued to invest in our AI capability, which has grown significantly over many years. Slide 14, we've called out some of the ways we are using AI and our focus for FY '26. The AI tools we are implementing are improving the productivity of our people by providing rapid access to information and reducing some manual work that can be automated. For our customers, AI is delivering tangible benefits such as shorter wait terms through our customer call center as our AI assistance answer around 20,010 questions a month. and reduced queries to back office teams by 60%. AI is also supporting better network experiences with faster identification and resolution of network issues for our customers. With the acceleration of a genetic AI and the capability of our global partners, we'll continue to expand this capability to underpin both costs and experience improvements in FY '26. Our technology delivery model and AI investment have both supported our expanded cost reduction program, which is outlined on Slide 15. At the first half, we disclosed a combined labor and OpEx cost reduction target of NZD 80 million to NZD 100 million when comparing to the second half of FY '24 to the second half of FY '25. This was put in place to address the high fixed cost of business that has structurally changed and inflationary pressure we've seen in some OpEx lines like network support and computer costs. We delivered NZD 85 million in cost reductions in H2 '25 compared to H2 '24. This includes a NZD 61 million year-on-year reduction in labor costs, NZD 4 million and other OpEx costs and NZD 20 million in product costs. When we shared this target at the half, we had envisioned the network and IT cost reductions we achieved through partnership model, would benefit mostly in OpEx. However, as you can see, some of that has landed in product costs. We've also set out the net labor and other OpEx cost reduction targets for FY '26 on this slide. In FY '26, we're targeting a net labor reduction in the range of NZD 30 million to NZD 50 million and other OpEx to stay broadly flat as the annualized labor and partnership benefits flow through from FY '25. We see additional benefits from further simplification. This is offset by severances associated with these changes car inflation and changes in capitalization rates and new costs from outsourcing models and normal inflationary pressures in areas like software. We'll also be investing additionally in marketing to remain competitive in the market and to support our growth. From H2, we'll also be deconsolidating DC costs of NZD 10 million, which we have highlighted on the cause of change chart for completeness. We remain on track to deliver overall annualized cost savings of NZD 110 million to NZD 140 million by the end of FY '27. Before I move to our data center strategy, we've summarized our ongoing sustainability performance on Slide 16. While our underlying electricity use declined 4.9%, the rising National Grid emissions factor contributed to an 11% increase in Scope 1 and 2 emissions year-on-year. We remain committed to our FY '30 based reduction target and our new renewable energy partnership will decouple our reported electricity emissions from the national grid sector in the years ahead. To this end, we were pleased to see generation commence at Genesis Energy's Lauriston solar farm in Q3. We also continue to support more New Zealanders to participate in the digital world with over 34,000 households now connected with skinny jump. So turning now to our data center strategy. As you would have seen last week, we reached agreement to sell a 75% stake in our data center business to Pacific Equity Partners. This secures a funding pathway for our development pipeline and values the business at up to NZD 705 million, representing an FY '25 pro forma EBITDAI multiple of 0.8x which compares favorably to similar transactions. Importantly, this enables Spark to realize value for our data center assets in the short term while also continuing to participate in this growing market. through our 25% retained stake, creating further value for our shareholders over the longer term. We expect to receive initial proceeds of around NZD 486 million at completion. With additional deferred cash proceeds of up to NZD 98 million, contingent on achievement of performance-based objectives by the end of calendar 2027. This brings the total potential benefits to around NZD 583 million of the full earn-out is achieved. We'll use the proceeds to reduce group debt. This will also enable us to focus our capital investment behind our core connectivity business. [DCCO] will be established as a stand-alone entity with its own Board and management team and debt financing facilities, which are nonrecourse to Spark. This means our future annual capital contribution is expected to be modest. In H1 '26, we expect to spend NZD 50 million to NZD 70 million of CapEx prior to the assumed transaction completion date. And I'm now going to hand over to Stewart to talk you through our capital management reset and the detailed financial performance.
Stewart Ian Taylor: Thank you very much, Charlie, and I'm going to start by -- and good morning, everyone. So I'm going to start with the capital management reset, which is outlined on Slides 22 and 23 of the results pack. So in the context of our new 5-year strategy, the Board has also reviewed our capital management settings and done that with 3 clear goals. Maintaining financial strength, ensuring an appropriate return from our spending and investment and delivering sustainable shareholder returns are those 3 clear goals. So firstly, to do that, we remain focused on a strong balance sheet. And within that, we are targeting metrics consistent with our current credit rating. Any investments or M&A we undertake for growth will need to meet our hurdle rates, specifically being NPV positive and with a return on invested capital or ROIC that is greater than our own cost of capital. We've also introduced new definitions of CapEx, so this is to replace the current definitions, the new definitions being business as usual, or BAU, and strategic CapEx. So BAU CapEx now includes all capital investment in our core business with the exception of spectrum. And as a practical example, the 5G stand-alone investments that we have made would be included here. going forward. Strategic CapEx includes all capital investment outside the core business. So going forward, in FY '25, a clear example here would be our data center business. Now this then feeds into our changes into changes to our dividend policy, which is designed to support a sustainable dividend paid out of free cash flow. We've introduced a new definition of free cash flow, which now includes changes in working capital and BAU capital expenditure, which is used to operate the core business. The exclusion from this is spectrum and strategic CapEx. Finally, the payout ratio has been updated to 70% to 100%, and this is to provide flexibility, if needed in the future. Now in that context, as you would have seen, we have -- our FY '26 guidance includes a 100% payout of free cash flow in FY '26. Finally, in relation to the capital management reset on Slides 22 and 23, you'll also note that the dividend reinvestment plan will be utilized when appropriate. And -- but this has been suspended for the moment, given the anticipated receipt of proceeds from the data center transaction and subsequent reduction in net debt that's expected to come from the completion and settlement of that transaction. So after capital management reset, I'm going to move on to talk about -- talk to the results summary. So this covers Slides 25 and 26. Now Jolie has already talked to many of the key numbers on Slide 25, but I'm just going to pull out a few more points of interest. The first piece to note is that the reported columns for both FY '24 and FY '25 that we've shown here exclude the data center business, which has been classified as at 30 June 2025 as a discontinuing operation. Now the FY '25 reported numbers do include the Connexa gain on sale of NZD 71 million and the NZD 53 million worth of transformation and costs incurred during the year. Acknowledging that there's some complexity with the removal of the discontinued operation, the reconciliation a reconciliation from reported to adjusted figures is included in the appendix of the presentation. Now returning to the numbers. What we can see is that on a reported basis, revenue and other gains of NZD 3,725 million and EBITDAI of NZD 1,053 million were NZD 95 million and NZD 88 million, low, respectively, than the FY '24 numbers. Our financing cost increases in FY '25 as the average net debt was higher, which offset lower effective interest rates. Our tax expense declined in FY '25 compared to the previous year, which was due -- this was due to a combination of factors: lower earnings, the nontaxable gain on the Connexa transaction, and a NZD 26 million of additional tax incurred in FY '24 in relation to the governance changes to tax depreciation rules on buildings. Just moving -- shifting across the adjusted results, the additional points to call out are the fact that the effective tax rate is actually very similar year-on-year and CapEx as a proportion of revenue returned to 11.6% in FY '25, in line with our target of 10% to 12%. Having talked collectively to Slides 25 and 26, I'm going to move on and talk to the capital expenditure slide on 27. Now you'll see here that CapEx of NZD 429 million reported in FY '25 is NZD 89 million or 17.2% lower than what was reported in FY '24, excluding the FY '24 spectrum spend. This reflects a proactive reduction in CapEx in line with the lower reported earnings. Now maintenance CapEx of NZD 350 million was similar to last year, reflecting that continued focus on investment in the fixed and mobile networks to support greater resilience, network coverage and capacity. Now we continue to be disciplined around what we spend, and we'll continue to focus on investing in our core connectivity business aligned with SPK-30 strategy that Jolie talked to. And this will mean that we will -- our CapEx to revenue should will remain at that 10% to 12% per annum ratio. Finally, and as part of the capital management reset and talking to those changes in CapEx definitions, you'll see on the far right bar of the chart, we split the NZD 429 million of FY '25 CapEx based on the new classifications. What this means is that the NZD 51 million spent on the 5G network, which was previously considered growth CapEx is now incorporated in our new definition of BAU CapEx. The only amount therefore included in the strategic CapEx category is the NZD 28 million of spend on the data center business. Now turning to Slide 28. Free cash flow for FY '25, and this was based on our previous definition, came in at NZD 330 million. This was in line with FY '24. This reflected lower EBITDAI in FY '25, largely offset by the lower cash CapEx number. Now acknowledging that we're moving to a new definition of free cash flow, at the bottom of the table, we have shown a reconciliation of free cash flow under the previous definition to the new definition, and that new definition will be used as the basis of calculating the dividend in future years. Highlighting those changes, free cash flow will now be considered after the cash effect of changes in working capital and BAU CapEx as opposed to the maintenance CapEx definition we used previously. Thinking in practical terms, this means that all CapEx other than spectrum and strategic CapEx would therefore be captured when making that free cash flow calculation. Now moving on to Slide 29, which is on debt and dividends. Slide 29 shows that net debt ex leases reduced in the second half of FY '25 by approximately NZD 300 million to NZD 1.475 billion due to the net proceeds from the Connexa sale. Now with the inclusion of lease liabilities and applying the Standard & Poor's methodology, the net debt-to-EBITDA ratio at 30 June was 2.2x. With the HTAL sale completing in July and the expected completion of the data center transaction later in the calendar year, we would expect that net debt-to-EBITDA ratio to decline by around 0.5 turn or 0.5x. This would highlight -- or this highlights our focus on strengthening the balance sheet and targeting those metrics that are consistent with our current credit rating. The bar on the far right of the chart also shows that based on the successful completion and settlement of the data transaction, the net debt level before leases would be expected to be just over NZD 1 billion. On the dividend, as Jolie previously mentioned, the final dividend for FY '25 will be NZD 0.125 per share, bringing the total dividend for the year to NZD 0.25 per share. This is underpinned by the free cash flow generated by the business in the year as well as some of the proceeds from the Connexa sale. And with that, I'll hand back to Jolie to talk to the strategy section.
Jolie Hodson: Thanks, Stewart. I'm now going to share an overview of our new FY '30 strategy. Our ambition over the next 5 years is it's bidder with Spark, whether it's returns we deliver to our shareholders, our network performance our customer experiences or the workplace culture we create with our people. We want it to be better with Spark. Capital allocation will be prioritized to our core connectivity segments, covering mobile, broadband and business connectivity such as fixed networks, collaboration and IoT in adjacent segments such as cloud and IT service management, we will simplify and optimize the services we provide. Transitional legacy products to more modern solutions and leverage greater levels of AI and automation and our new global partnerships to improve both customer experiences and efficiency. We'll continue to invest in delivering a reliable and trusted network that is the one it matters for our customers. We're adding satellite to mobile services in 2026, and we can leverage the lead we have on our 5G stand-alone investment to bring new capabilities and monetization opportunities to the market. Our focus on productivity continues in our multiyear program, lifting our cost discipline and efficiency as we leverage new technologies, partnerships and further simplify our business. With this new focus, our ambition is to deliver stable annuity-like returns with predictable free cash flow and growing dividends for our shareholders over time. This information we have provided today is really just a summary to provide our shareholders clarity over our future focus. We'll provide further detail and the opportunity for discussion at the Investor Day to be held on the 11th of September. I'm now going to pass back to Stewart to cover outlook and guidance.
Stewart Ian Taylor: Thank you, Jolie. So finally, we come to guidance. And this is on guidance for FY '26. And so this is on Slide 37. So given the potential changes to both the business with the sale of the data centers and some changes to the way we define CapEx and free cash flow, there is a little bit going on, on this slide. So I will take a bit of time to explain it. . Now the first column provides the results achieved in FY '25 according to the metrics we've historically used. The next column over which shows FY '26 guidance on the basis that the data center business is owned 100% through the entire year. So this would be the best representation of a like-for-like basis to the actual FY '25 results. Now under this scenario, we'd expect EBITDAI to be between NZD 1,020 million to NZD 1,080 million. We'd expect BAU CapEx to be between NZD 380 million and NZD 410 million; free cash flow to be between NZD 290 million and NZD 330 million and the dividend to reflect a 100% payout of free cash flow. Now having talked to that column, the last column is on the far right is what we would anticipate to be the most likely scenario, the FY '26. This would -- this is prepared on the basis that the data center transaction completes on 31 December 2025 and our 25% stake in that data center business from that point onwards would then be accounted for associated as associate earnings. Hence, a half year of EBITDA from the data center business would not be consolidated into our reported results. This, therefore, reduces the EBITDAI guidance range to NZD 1,010 million to NZD 1,070 million. Noting, however, that our guidance here does not include the benefit of any gain on sale realized from that -- from the sale of that data center business. Now BAU CapEx remains the same at NZD 380 million to NZD 410 million. But it's important to notice that the data center CapEx is forecast to be NZD 50 million to NZD 70 million, as we referred to before, there is a certain amount of CapEx committed to as part of the transaction. which is expected to be incurred in the first half of FY '26. Free cash flow is expected to be NZD 290 million to NZD 330 million as lower EBITDAI is offset by reduced cash interest costs from having lower overall debt levels post transaction. And once again, this means that the forecast dividend also would reflect a 100% payout of free cash flow. Now with that, I will return to you, Jolie, to summarize some of the key points from today's presentation.
Jolie Hodson: Thanks, Stewart. To summarize FY '25, it has been a challenging year. We take full responsibility for our performance and have been focusing on delivering a significant transformation program to turn this around. As we work to improve outcomes in the short term, we've also reset both business strategy and capital management settings, to ensure we are delivering value for shareholders over the longer term. We move into the [SNC] strategy phase with strong foundations. We are the market leader in mobile and broadband. Our customer satisfaction has increased 5 years running. And we have the most reliable mobile network and the widest coverage experience in the country. We have renewed determination to deliver more for our customers, our people and our shareholders. And with that, I'd now like to hand back to the moderator to facilitate the Q&A session now.
Operator: [Operator Instructions] First question comes from the line of Kane Hannan from Goldman Sachs.
Kane Hannan: I had three, please. I just a smaller room, if that's right. Just firstly, the dividend. You obviously set that target payout ratio of 70% to 100%, starting at 100%. You just talk about the decision you started at 100% next year. So it's how we get comfort the '26 dividend will be the trough. I mean earnings are going backwards a little bit, at least in the guidance. You don't really have any room to move higher, say, in FY '27 should you need to? So just interested in that sort of thinking. Secondly, do you just be a bit more specific around your mobile revenue growth expectations sort of for the year ahead? Just any comments you can make there around how you're seeing FY '26. And lastly, ROIC was 8.7% this year. I think about the Spark-30 strategy. I mean what sort of ROIC are you targeting by the end of that program as it compared to the 10% Telstra is targeting in the on T30 program chips?
Jolie Hodson: Okay. What we might do is Stewart you want to kick off dividend and then I'll pick up the other 2 on mobile growth and the ROIC. .
Stewart Ian Taylor: So the payout ratio setting of 70% to 100% is I mean that's our policy setting. And we've made a capital management reset and the idea about the policy settings and providing yourself with a bit of breadth is that, that gives you want some of that last year for the long term and provide you with some flexibility. I think in that context, then it's really important that we do guide to a payout ratio for the next year. And in this case, as you -- we've guided to 100%, and that's on the basis that we consider with the data center transaction, other things going on that we are well placed to manage to our sort of broader capital management settings, including the net debt-to-EBITDA ratio. . Jolie, do you want to...
Jolie Hodson: The only thing I'd also add to that, obviously, it's been a challenging economic environment this year. And next year, we set out a guidance that see stabilization in that performance as we look forward, we'd expect to see growing earnings and free cash flow as a result of that to the point of being at the top end of that. So in the end dividends growing over time. . Your next question was on mobile growth. And so in terms of setting that for FY '26, really expecting around growth ahead. Within that, we've got consumer and SME, August pricing changes that have gone through further acquisition and retention, driving that base growth ahead. offsetting that, you have the enterprise and government rate of ARPU decline stabilizing and with some of the new wins that we've had, that base coming on board. So it's a mixture of those different factors in terms of still a tougher economic environment out there, but the pricing we've taken really happened to drive that growth within and still expecting to see competition and pricing around the enterprise and government ARPU. The last one, I think, was in relation to ROIC. So 8.7% was the rate for this year. And if we look forward to that FY '30, what we're targeting is 11% to 13%. I think you used to the Telstra was 15%. So that's the focus that we have ahead.
Operator: [Operator Instructions] Next, we have Entcho Raykovski from E&P.
Entcho Raykovski: My first question is around mobile. So you mentioned those price increases, which should be supportive from the first of August. I wonder if you can quantify what sort of ARPU benefit you expect to see from -- specifically from the pay monthly price increases. And if you can comment what you've seen so far in terms of churn post that increase? I know it's really early days. I think it was only 3 weeks in, but how are you thinking about that impact over the course of the year.
Jolie Hodson: If you look at the price increases that range from NZD 2 to NZD 5 across the pay monthly base. And within that, we haven't seen significant churn off back of that price increase. You're right, it's only 3 weeks in, but it is on the bill. So -- and through it gets announced a few months out before it. So that's what we're expecting in relation to that. at ARPU growth.
Entcho Raykovski: And is it -- I mean, is it the case, obviously, 1 New Zealand went earlier this year as well. You've got pretty similar pricing to them. Is that part of the factor, 2 degrees still seem pretty competitive at the low end. But is it -- I mean, what is the sort of dynamic you're seeing in the market?
Jolie Hodson: I think from a marketplace, we're all investing heavily in our networks, and therefore, our data is continuing to grow. So it's something that we need to make sure that we are getting an appropriate return for the services that we're selling. So I can only really talk to our intent around pricing, but certainly, that's about making sure that we are making sure that we can support the investment that we make. And I certainly think from a consumer's perspective, as you mentioned, others have taken price and expect to see that occur.
Entcho Raykovski: Okay. Great. And then I've got another one on the guidance. So given the improvement in mobile, which you've just spoken about and then the benefit of the cost reduction program. Is there a reason why the mid-band of '26 guidance, and I'm taking the guidance including the data center portfolio, to compare on a like-for-like basis. But is there a reason why that midpoint is for a slight decline. Are there perhaps some other building blocks that we need to take into account? Or is there a level of conservatism that you're building into that guidance?
Jolie Hodson: I think if you think about the guidance ahead, we're still in a fairly challenged economy. When you say there's a slight difference, I think if you take the midpoint of the guidance range at NZD 1,040 million, if you take where we were where we finished '25 at NZD 1,060 million plus take out DC for half a year. You're broadly within NZD 7 million to NZD 10 million on NZD 1 billion, I'm not -- isn't a material difference. When you think more broadly, mobile growth, yes, OpEx and cost savings. We still have voice legacy decline that will occur and are some of the other sunset products. So really, your productivity and cost efficiency is offsetting some of those changes that you see in some of those legacy revenues while we look to able to grow.
Entcho Raykovski: Okay, great. And final one for me. I'm just wondering if you can talk to what were the key factors that drive the decision to sell down a 75% interest in the data center portfolio. I know you've previously spoken about only selling a minority interest of circa 50%. I mean, was it the price that you got a better outcome was the opportunity for CapEx reduction, asset level debt. What were the sort of key factors which drive that?
Jolie Hodson: I mean, we looked at a range of factors around the transaction and the office that we had and the structures. And I think what we're really pleased about is we have a -- we'll have a well-funded stand-alone organization where we are able to realize value in the short term for what we have already created, but we also have an opportunity to participate in growing market ahead through that well- funded organization. So from our perspective, it creates the opportunity for value creation now, but also in the longer term as well. And so that's really what influenced our decision. And if you think about the significant pipeline that's going to be built out over time, that means that, as I said, the structure is well funded, but it also means that the core connectivity business can also be well funded as well in terms of we have a priority of our funding going towards that.
Operator: Our next question comes from the line of Wade Gardiner from Craigs Investment Partners.
Wade Gardiner: Just a few questions from me. First of all, on the dividend policy. I just want to revisit the question before around the range. What are the circumstances that we see you pay that around the bottom of the range I assume it's all around gearing. Is there anything else?
Stewart Ian Taylor: Is this you're talking to when you say that as in the lower end of the payout ratio was 70%. I mean it may be that you want to provide yourself with some cash flow flexibility in future years. There may be some upcoming investment that you want to make. I think what we're -- all we're trying to achieve is set something that -- what we're trying to achieve there is set a policy and more broadly a capital management framework that in us for the longer term.
Wade Gardiner: Okay. Can you -- just in terms of the numbers that you've outlined, I think, on Slide 22, is there -- how much do you assume for working capital changes? I would have thought there would be much generally? Or is there scope for that within that range that you've given?
Stewart Ian Taylor: I mean we've been -- we've had a pretty -- we have been pretty focused on working capital and would continue to focus, and we will continue to focus on working capital. I mean there's obviously a relative to greater which it can it can benefit there. I think you will always have a baseline level. But I mean we would always have a broader objective to manage our working capital efficiently as possible. And otherwise, I think we can always do more that. But it's not going to be tens of millions of dollars, if you know what I mean.
Wade Gardiner: Right. Okay. So we're talking sub-10 here generally.
Jolie Hodson: Obviously, Wade. It's more around how does the free cash over time from '25 under the new to the -- I don't know if that's your question, but obviously, there's things like some of the interest cost reduction from lower debt and things like that as well...
Wade Gardiner: Yes. I guess I'm just looking at it from -- you are paying 100% next year. There's not there's not significant growth forecast, say, for '27 and '28, therefore, I'm just trying to understand the risk that we go into those years and suddenly the payout slips below 100% in that dividend. At the moment, the guidance sort of implies sort of 15% to 17% to next year. But if we did it at 70%, suddenly it's more like 12%. I'm just trying to get some comfort when we slide around...
Jolie Hodson: 100% payout next year of the free cash. If you're looking at what are the things that can influence the free cash is component. Obviously, EBITDAI, CapEx, but the tax cash, the interest changes in working capital we just talked about small improvements, we cross that and lower interest costs as our debt comes down. So all of those things are considered. And as if we think ahead where we see dividend growth is more from free cash flow growth over time.
Wade Gardiner: Okay. Just in terms of the gearing savings, I mean, it's 1.1x on a pre-IFRS basis and 1.7 using the S&P metric. Is there any -- you have talked in the past about trying to get some leeway or some movement within that S&P seeing. Any update on that?
Stewart Ian Taylor: I mean I think the focus right now is we're at net debt to EBITDA of 2.2x. And the following the completion settlement of the data center transaction, that gives us 0.5 benefit, which gets us back into the expected range, which aligns with our current credit rating. So I mean that's the focus right now.
Wade Gardiner: Right. So nothing in terms of changing the credit rating, if you like. i.e., in other words, others with the same credit rating have a higher number. .
Stewart Ian Taylor: I mean that would be -- I mean we're always -- we'll be taking -- we'll obviously talk to S&P as we would in the usual context over the next sort of couple of weeks. And I mean that's always part of the conversation we have. But I mean, ultimately, that is their decision. I mean some length to explain why this like it is.
Wade Gardiner: Just shifting tack a little bit. Slide 10, you talk about good disclosure read around the split between enterprise and government and consumer the comments around decline stabilizing for the enterprise and SME. Can you just sort of clarify, when you say decline stabilizing, does that mean it's still in decline, but at a stable level or there is no decline?
Jolie Hodson: I think in enterprise and government, what we're talking about there is if you look at the connections, what we've seen is some slight improvement in the second half of the base and with new business on over the last part of '25 and still to come on to the connection basin in '26. In the first quarter '26, we'd expect to see some growth in that. If you look at ARPU, there is still a lot of competitive pressure on that. We've had 12 months, I guess, of that in this financial year, and we expect to see some still as it rolls through broader in the enterprise space. So stabilization of the base from where we saw a lot of fleet reduction, workforce reduction across the enterprise and government debt is stabilizing. ARPU is still competitive, perhaps moderating a little but not materially different from where we've been.
Wade Gardiner: At an absolute dollar level or just because the decline was more like 12.5%, are we still going to see that level of decline? Or are you talking about more that it's stabilizing at the dollar level?
Jolie Hodson: I think if you think about decline levels, you'd be seeing less than 12% decline, but you'd still be seeing decline to the point of ARPU is declining and running through the base. Connections will be growing. So you're probably more looking at 7% to 9% type range versus a 12 previously.
Wade Gardiner: Okay. And is there a big difference between government and enterprise in that -- in other words, government spending has sort of stabilized and we're not seeing declines there. And I guess it goes into IT services as well? .
Jolie Hodson: I think when you think about government in terms of the connection side of that. Yes, the workforce changes -- well, the ones that have been implemented over the last year. have stabilized more. The pricing side of that is as you flow through the more of the enterprise book and it comes up for renewal because obviously, this contracted customers that sit in there. And so that's the part of which you still see some pricing pressure through '26.
Operator: [Operator Instructions] Next, we have Arie Dekker from Jarden.
Arie Dekker: Just firstly, on cloud procurement and IT services, which you've signaled out as being sort of outside of the core connectivity business. gross margin, 20% of gross margin dollars. Have you -- are you in a position where you have a very clear idea of what its EBITDA contribution is to the business? And then also sort of related to that, what you've invested in capital in that business through the cycle sort of the invested capital base is taking M&A, IT investment and sort of working capital investment under account?
Jolie Hodson: Yes. Look, so if you think about the EBITDA margins, globally, they sort of sit in there for IT and clubs sitting around about the 8% to 12%. So our EBITDA margins are more in the 15% to 20% within that. In terms of the capital invested or M&A and things like that, that's largely been around our cloud businesses, which are more associated with the data center component. . ROIC would obviously set lower than our existing core connectivity business within that. When you think about the shift in EBITDAI, I don't have a ROIC number by division to give you, but it is lower, obviously, than the overall ROIC.
Arie Dekker: Yes. And then you've made some observations around that being a more fragmented competitive environment. You've also referred to changing mix and demand impacting profitability. So are you sort of suggesting that within Spark-30 that you are open to considering divestment of some of these businesses and the right market conditions? Or is your simplification and optimization all still within stack?
Jolie Hodson: I think, overall, we'll always look at our portfolio and make choices around where we're seeing the market shifts and the earnings that we can gain off those certain assets. So yes, we will be doing some location work regardless, but we would also consider over time whether that was there's an appropriate opportunity.
Arie Dekker: So then within that ROIC target, I think you referred to of 10% to 13% sort of medium term. Let's say, at the midpoint, is that on a like-for-like basis, the business as it stands today or does it assume some exits?
Jolie Hodson: No, it's more on a like-for-like that will fit in 11% to 13% is what we're giving. So it doesn't -- I haven't -- we haven't laid out particularly as I said, because at the moment, the focus is on the simplification of those businesses. And over that period, that might change. But if it did, we would obviously provide clear guidance around that.
Arie Dekker: And does it refer to -- does it include cost out beyond what you've sized at this point through to FY '27?
Jolie Hodson: Yes, it would.
Arie Dekker: Yes. Okay. So more cost out. Cool. Then just on...
Jolie Hodson: Well, I'm not going to get into -- this is probably more a discussion with the Strategy Day. But in broad terms, you'd be looking at that sort of single-digit top line growth drivers of mobile, IoT, you've got some offset in terms of your voice and those more sunset mature businesses and then looking at productivity efficiencies to help generate that small low single-digit growth in EBITDAI over time?
Arie Dekker: Great. Just turning to broadband. I mean, that was definitely a step-up in connection losses. You've talked to the complicated situation there. But then also for the first time, we saw fixed wireless connection losses. Can you just sort of talk about what you're seeing in fixed wireless? And then also, you have talked about wanting to retain critical mass and broadband. And obviously, you remain a meaningful player. But are you going to continue to push ARPU premium and be happy with sort of ongoing sort of low single-digit connection losses. What's happening in fixed wireless, given it's important to gross margin? .
Jolie Hodson: So I think the 2 things around fixed wireless ahead in terms as the 5G network continues to roll out, and we have greater population coverage. We also have the spectrum required. We'd look to continue to grow that. Also the opportunity to bundle more so with mobile, we see as an opportunity going to grow it. So we think that while brand will play a continuing to play a bigger also, no, we don't want to accept losses in that part of the market, saying that it's still a very competitive market as we've touched on. There are many competitors in this space. So it's a combination of making sure that we are growing our margin, retaining base and leveraging the network that we are building out. And so that's the combination of where we see the opportunity for further 5G wireless broadband growth. And also as you see the modems come out at a better pricing as well, we think there's opportunity there.
Arie Dekker: Just in terms of Chorus has got a 100 megabit home starter product and now is actually proposing to bring an even lower price product at 40 megabits down. Like are you going to use fixed wireless to continue to compete against that? Are you going to sort of embrace those products? Can you just sort of talk a little bit about that? And what impact...
Jolie Hodson: Sorry. You finish, Arie.
Arie Dekker: And the -- and then I guess, just whether that's going to put downward pressure on your wireless pricing if that is going to be the strategy to push that one?
Jolie Hodson: I mean we operate in competitive markets. So we're always going to have to look at the mix of price, the product offering, the broader experience we can deliver across that. So -- and saying that, we want to make sure that we're offering the widest choice of products for our customers that makes sense. So we're going to have to look at all of those levers to help deliver on the overall experience for our customers. And we also know products that are brought together more than 1 product bought together helps to retain our customers for a longer period of time. So it's important that we have a wide range of that. So we'll be assessing each of those elements, pricing the offers that we put out there, the product innovation that's happening, whether it's in fixed or wireless. And how does that line up with what our customers are looking for.
Arie Dekker: And then just last one from me, as you know, there's been a recurring theme. But just on [indiscernible], mean obviously, still have no visibility there. So I guess just the first question. Are you willing to sort of talk about what the investment you're making on an annualized basis into that subsidiary. And then I guess sort of related to it, how because you -- I guess you've sort of put up the signal now some time ago that it's noncore. Like are you confident that the investment that you're ongoing making in that business ahead of bringing in a partner or exiting at it's going to be offset by the proceeds for continuing to hold it through to that period?
Jolie Hodson: So the market is the matter and we're working are continuing to mature, and we've obviously seen some customers coming on board in relation to that. The overall investment is small in comparison to our overall business. We have noted that we are in an investment process and looking to other investors. And I think we'll have more to say when we are further down that process. Our focus for this last 6 months has really been on the transformation of the broader business, particularly in terms of the work we've done on divestments, the ongoing operating model changes and the partnerships we've put in place. So [indiscernible] is an important part of that broader portfolio and what we are looking to do in terms of the signal that we have given in relation to looking for investors, we have an adviser appointed, and we're working on that. So that's probably all I have to say right now. [Technical Difficulty]
Stewart Ian Taylor: We've got cut off. Still in the queue. There's nothing on the line.
Jolie Hodson: Sorry, we just can't quite hear you. Who's there on the call?
Unidentified Analyst: Sorry, I just cut off for a second. Sorry about that, but technical difficulties. But just a few questions. One was on the direct product costs. You called out a NZD 20 million reduction. In second half '25, we saw sort of over NZD 30 million sequential step down in mobile and cloud direct costs. Could you just help me confirm sort of the 2 numbers was the direct product cost reduction that you called out mostly for mobile cloud? Or was there any other factors to call out impacting sort of direct costs in half 2? And then just following on from that, I think compared to the original cost out announcement, less and other a bit more in product costs. going into FY '26, I mean there's going to be further labor cost reductions flowing into '26, but just how do you think about the scope of further cost reductions in the direct costs as well as the other cost bucket as well? Those are my questions.
Jolie Hodson: Okay. So in the first part around the direct costs, I think you touched on cloud and mobile. So cloud was an area where some of those product costs were reduced and therefore, showed up in the gross margin component. Mobile has small amount of some cost savings here as well within that. If you look forward to '26, what we've tried -- or the target for '26 has tried to sort of lay out that complete view across both labor and OpEx and some of the things that both have cost and related to them, but also cost out. We will always continue to be looking at our direct costs as well. Rather than layout, it's more challenged to go to point-to-point because obviously you have volume-related things and many other things happening up in the product cost here. So we haven't specifically called that out, but that doesn't mean that we aren't focused in have always been focused on how we continue to reduce cost in that space.
Operator: Next, we have Aaron Ibbotson from Forsyth Barr.
Aaron Ibbotson: I got sort of two questions. And the first one, Jolie, is just on these technology partnerships, which you have laid out. I'm just curious to understand that what the sort of medium-term cost implications from these are? How are they structured? Is it primarily variable? Is there a fixed cost component that accelerating through time. Is there any sort of sort of guidance or insights you can give us on how these are structured from a cost for Spark perspective?
Jolie Hodson: In general, these are longer-term contracts. So we have a clear view around the costs that will -- and the benefits that accrue over a period of time, and so therefore, have both immediate savings and savings ongoing and how technology affects that as well. So innovation and things that might happen with AI. Microsoft is a slightly different 1 in terms of it goes more to the borrowing rate we have for cloud products that we purchase not only for our customers but also for our use of public cloud as well. So within that. So those cost benefits clearly laid out and see over a period of time for those sort of the IT, [indiscernible] emphasis and in your Nokia-type arrangements. So we understand what that looks like over that period and has been considered when we think about the longer-term cost savings and/or costs and related to those partnerships.
Aaron Ibbotson: I appreciate that. But if I'm talking about gross costs, so the -- what you're paying to these partners effectively. Is there a some sort of inflation impact...
Jolie Hodson: We have a grid rates with what that will look like over the time, and it has a combination -- I mean, not going to go into things that are commercially sensitive, but if you stand back from it, you obviously have some implications around there may be cost increases to deter things, but there are also productivity targets that are included as part of that. So that's why I'm going to say we understand the cost benefit that will come over a period of years. off the back of that, and that's very much linked to the contract.
Aaron Ibbotson: Okay. Second question, just on CapEx going forward, this 10% to 12% BAU sort of medium-term type targets that you laid out. If I think about your partnership agreements, you sold the tower assets, selling the data center assets. Is there any scenario where this comes in a bit below? Or it seems a little bit high for me if I take the midpoint of that, given all the changes you're doing or simplifications you're doing to your business, if I think about BAU, particularly 5G is largely built out in a couple of years. Is there a scenario where it comes in below? Or why is it maintained at this level?
Jolie Hodson: Well, I think if you look at our 10% to 12% when you benchmark us internationally, we're really sitting very strongly and partnerships are quite consistent across our international peers as well. I think with -- and our capital spend, mobile continues to form a significant amount of that investment and whether that's rolling out a new GE moving to a stand-alone core or continuing to roll out capacity, that will always be part of that, your IT systems and things that support your ongoing sustaining your way of doing things, your customer experiences are also an important part within that. And then we have our own fixed network, optical transport network. We do invest in cable capacity. So I think you'd probably be more like at the top end or the low end of that range of 10% to 12%, but not outside that range.
Operator: [Operator Instructions] Our next question comes from Phil Campbell from UBS.
Philip Campbell: A few from me. I just noticed in the Telstra result that they sold a 75% stake in Versant, the IT services business to Infosys. And I suppose you look at that transaction is quite interesting, and the valuation was quite good. We also noticed today in terms of the disclosure, you have changed the disclosure slightly splitting it between kind of connectivity and non-connectivity, which is, I think, consistent with your Spark-30 strategy. So I suppose when I put those 2 together, I kind of look at it and then also your response to Arie's question about the lower return on capital. Are you kind of look at it and go, well, wouldn't it make sense to maybe follow what Telstra is doing and maybe reduce the reliance on services? And actually, what you're saying here today is you're focusing more on connectivity.
Jolie Hodson: Yes. Look, I think as I spoke to before, we always look at the portfolio and determine whether we are the best owner of those assets based on the market positions you have and the maturity within those markets. So at the moment, our focus is on simplifying and exiting legacy products within that, but that's not to say the right opportunity system that we wouldn't consider looking at like we do at any asset that we own.
Philip Campbell: Right. Awesome. The second one is just on the dividend policy, just exploring that a little bit more because, again, if I look at the forecast for '26 or even first half '26, we're going to get down to the A- credit rating on if we take on board the return on capital target improving over time, what is the dividend policy in relation to the fact that if you start becoming under-geared, because at the moment, you're just talking about a payout ratio of 70% to 100%. What happens if that ratio is 1.7% goes below 1.5% over that the Spark strategy, what is the dividend policy? And how does it deal with that type of situation? .
Stewart Ian Taylor: Yes. Phil, the -- I mean -- so it seems getting to an under-geared state seems a way away. So I think we -- to get to the point where we've still got the data trend centered to transaction to settle. So that's got a 0.5x benefit on our debt-to-EBITDA ratio. So yes, if that happens in [31/12] HTL proceeds come in, then I think what we would -- how we would potentially think about it if we did end up in that situation is we may differentiate between an ordinary and special dividend and potentially apply or return some of those proceeds to shareholders that way should that situation arise.
Philip Campbell: Right. I suppose just being a little bit of a Spark trainspotter in terms of previous presentations. You've always mentioned an A- credit rating, I suppose, interesting today, you talk about the current rating. You don't actually mention the A- at all. So again, that was, I suppose, not only that was my question in relation to the being undergeared. I suppose the question comes back is that in actual rate credit rating similar to wage comments?
Stewart Ian Taylor: Well, I think we've been clear in the presentation that we're looking to align with our current credit rating.
Philip Campbell: Yes. Yes. Just the last question for me is just, I suppose, obviously, a lot of change in terms of head count through the business. I suppose 5 years ago, there was a lot of talk at Spark of moving to an agile-type structure. What's happening to the agile structure under this Spark-30 plan? Was that kind of being unwound? Are we coming back to more traditional structure? Or what's happening with the agile structure?
Jolie Hodson: Agile, there isn't a change in that approach. We use it in parts of the business where it makes most sense in terms of whether that's product design or how we think about that. Yes, we are smaller organization as we've adapted to what's happening in the economy, but there isn't any change in terms of how we think about Agile and the use of that within the organization.
Operator: Thank you for all the questions. This concludes today's conference call. Thank you for participating. You may now disconnect.